Executives: Steven T. Plochocki - Chief Executive Officer, President and Director Paul A. Holt - Chief Financial Officer, Principal Accounting Officer and Executive Vice President Scott Decker - President of NextGen Healthcare Information Systems Division Donn E. Neufeld - Executive Vice President of Electronic Data Interchange (EDI) & Dental Steve K. Puckett - Executive Vice President of Inpatient Solutions Monte L. Sandler - Executive Vice President of Nextgen Practice Solutions
Analysts: Ryan Daniels - William Blair & Company L.L.C., Research Division Charles Rhyee - Cowen and Company, LLC, Research Division Jamie Stockton - Wells Fargo Securities, LLC, Research Division Glen J. Santangelo - Crédit Suisse AG, Research Division Zachary William Sopcak - Morgan Stanley, Research Division George Hill - Citigroup Inc, Research Division Richard C. Close - Avondale Partners, LLC, Research Division David Larsen - Leerink Swann LLC, Research Division Atif A Rahim - JP Morgan Chase & Co, Research Division Stephen B. Shankman - UBS Investment Bank, Research Division Bret D. Jones - Oppenheimer & Co. Inc., Research Division Steven P. Halper - Lazard Capital Markets LLC, Research Division Sean W. Wieland - Piper Jaffray Companies, Research Division David H. Windley - Jefferies & Company, Inc., Research Division Anthony V. Vendetti - Maxim Group LLC, Research Division
Operator: Good morning, ladies and gentlemen. Thank you for standing by. Welcome to the Quality Systems' Fiscal 2013 First Quarter Results Conference Call. [Operator Instructions] This conference is being recorded today, July 26, 2012, and I would now like to turn the conference over to Steven Plochocki, CEO. Please go ahead, sir.
Steven T. Plochocki: Thank you, Doug, and welcome, everyone, to the Quality Systems' 2013 Fiscal First Quarter Results Call. With me this morning are Paul Holt, our CFO; Scott Decker, the President of NextGen; Donn Neufeld, Executive Vice President of EDI and Dental; Steve Puckett, Executive Vice President of NextGen Hospital Solutions; and Monte Sandler, Executive Vice President of RCM Services. Please note that the comments made on this call may include statements that are forward-looking within the meaning of securities laws including, without limitation, statements related to anticipated industry trends; the company's plans, products, perspective and strategies, preliminary and projected; and capital equity initiatives to the implementation of potential impacts of legal, regulatory or accounting principles. I'll provide some opening comments and then turn it over to the team. First off, based on the advice of our counsel regarding the application of proxy regulations, the communications relating to the pending proxy contest for election of directors at our upcoming annual meeting, we will not be addressing any questions with respect to the proxy contest on this call. The company has filed its proxy statement with the SEC, as well as several other shareholder communications that address the proxy solicitation. And we refer you to those materials and to future supplemental materials that we will file for information relating to the proxy solicitation. The company reported record revenues of $118.3 million for the fiscal 2013 first quarter, an increase of 18% compared with $100.4 million for fiscal 2012 first quarter. Net income for fiscal 2013 first quarter was $15.5 million, down 18% versus net income of $19 million for the same period a year ago. Fully diluted earnings per share for the fiscal 2013 first quarter was $0.26, a 19% decrease from $0.32 for the fiscal 2012 first quarter. Although we delivered record revenue for our fiscal 2013 first quarter driven by strong performance in our recurring revenue streams, our overall results were impacted by lower-than-expected revenue from large, higher-margin software system sales. There are times when a limited number of these types of sales can influence performance in any given quarter. However, we still remain extremely confident about our future performance and prospects. However, due to the evolving conditions affecting our industry and uncertainty in predicting future results, we are not affirming our previous guidance nor providing revised guidance at this time. I'll now turn it over to Paul Holt.
Paul A. Holt: Thanks, Steve. As Steve mentioned, our consolidated June quarter revenue grew 18% versus the prior year. Note that our Matrix acquisition contributed approximately $2.7 million of revenue for the quarter. Earnings per share declined by 19%, $0.26 versus a year ago, $0.32. Our profitability was negatively impacted by a decline in software license revenue, saw higher SG&A and R&D expenses compared to our year-ago quarter. Also, I want to note that we recorded approximately $1.8 million in amortization of acquired intangibles this quarter versus approximately $0.9 million a year ago. This increase in amortization expense is a result of the acquisitions that we've been making during the past year. We report all of our numbers on a GAAP basis. However, I'm providing this disclosure for those of you who want to compare our results before these amortization charges. We are pleased with our growth in services revenue categories, including maintenance, revenue cycle and EDI, which in total grew 22% on a year-over-year basis to $80.4 million versus $66.1 million a year ago. Our recurring revenue as a percentage of our total revenue continues to grow, is to provide better visibility and stability towards future revenue growth. We remain very positive about our opportunities to continue to grow these revenue streams to cross-selling into our expanding customer base as well as to new customers. Monte and Don will provide more details on our revenue cycle and EDI opportunities later on in our call. I'd also note that our recurring SaaS revenue has continued to build, reaching $743,000 this quarter versus $590,000 a year ago. Our total system sales revenue grew by 10% on a year-over-year basis to $37.9 million on the strength of increased implementation services revenue. Our increase in implementation services revenue came from both ambulatory and hospital divisions, start continued growth of our customer base deploying our software solutions. Increased implementation services revenue was partially offset by a $3.1 million or 11% decline in the software component of system sales. Consolidated gross profit margin this quarter came in at 59.1%, which is down from 65.2% a year ago. And our gross margin was down primarily due to comparatively lower amount of high-margin software revenue and a change in revenue mix, which amare larger portion of lower margin implementation and other service revenue. SG&A expense, excluding amortization, increased by approximately $7.3 million to $36.7 million in the first quarter compared to $29.4 million a year ago. This increase was driven primarily by SG&A expenses added with various acquisitions we made during the course of the year, as well as additional headcounts and other expenses. We intend to carefully review our planned expenditures moving forward. R&D spend was up to $8.6 million, a 26% increase compared to the prior-year quarter. Our increased R&D spend reflects our continuing commitment to invest in our products as we move towards health care reform and accountable care organization. Our effective tax rate for the quarter came in at 33.6% versus prior year at 34.2%. Our current period tax rate was driven lower by a comparatively lower effective state tax rate, as well as certain discreet items we include in our -- add in our provision this quarter. Now I'm now going to move towards segment revenue and operating income performance. Note that these operating income results do not include any allocation of corporate expenses. NextGen ambulatory revenue was $36.2 million, up 16% over prior year. NextGen ambulatory operating income $28.8 million is down slightly, down 2% over the prior year; QSI dental revenue of $3.7 million is down 3% from the prior year; dental operating income, approximately $0.5 million; and hospital solutions revenue, $11.4 million is up 56% over the prior year; and hospital solutions operating income, $2.3 million, it's down 23% over the prior year. Our RCM services unit, $15.8 million in revenue, that's up 18% over the prior year, and operating income, approximately $1.9 million, is down 9% from the prior year. Moving on to our balance sheet. We ended the quarter with approximately $134.9 million in cash and marketable securities or $2.27 per share, which is down from $139.4 million or $2.36 per share at the end of the prior quarter. Note that our cash position was impacted by the payment of approximately $7 million in cash related to acquisitions this quarter. We feel that we continue to be in a strong position with our cash balances and no debt. Our DSOs, net of amounts included in both accounts receivable and deferred revenue, increased by 4 days to 77 days compared to 81 days last year. Our DSO is based on amounts we report on our balance sheet, also declined to 118 days versus 135 days a year ago. Our DSOs declined on a sequential basis as well by 4 days. Our current deferred revenue decreased by 71 -- to $71.7 million compared to $84.4 million last quarter. Part of this decline reflects changes in our contracted policy, related to health services are being billed as incurred, resulting in a smaller amount of services being recorded in both accounts receivable and deferred revenue. And again, for those of you who are tracking this, our noncash expenses for the quarter break down as follows: total amortization of capitalized software, $2.5 million; amortization of intangible assets, $1.8 million; depreciation expense, $1.6 million; stock compensation expense, $1 million. Our investing activities for the quarter were as follows: internally generated capitalized software, $4.3 million; fixed assets, $3.3 million. I'd like to thank you all for being on this call and your interest in our company. I'll turn things over to Scott Decker.
Scott Decker: Good morning, everybody. This is Scott. During the first quarter, as was noted, we saw mixed results in the ambulatory division. Overall, we saw year-to-year growth of approximately 16%, which continues the momentum of the past few years. With that said, we continue to experience softness in system software sales that began last quarter, and we're disappointed in the lack of growth in that area. Services, however, continue to show good growth across all areas, including implementation, training and management consulting. A few comments regarding the last quarter. Last quarter on this call, I noted the delay in revenue recognition of a large implementation development project. I'm happy to report that we successfully completed phase 1 of our project during the first quarter and delivered our pilot software release to Hanger. We expect to enter pilot phase this fall with a limited implementation. Assuming that goes well, full rollout to nearly 3,000 Hanger providers is scheduled to begin in early 2013. Also this quarter, we were also able to formally announce the details of our new international distribution agreement with Dell and Puerto Rico Hospital Supply enter the Latin American market. While this agreement did not represent any immediate revenue impact during the quarter, the partnership is off to a great start, and we expect to see meaningful revenue in future quarters as sales gain traction. We should also note that we are exploring additional international markets with Dell under similar distribution agreements. As noted in previous comments, we are once again impacted by delays in a few key transaction closings which had a multimillion dollar negative impact on our quarterly system software revenue. One of these transactions is an enterprise agreement and initial license purchase with a major payer for one of its operating divisions. We expect the agreement to get final signoff in the next few days and announce the relationship within the next few weeks. A couple of comments on the HMA relationship. As many of you are aware, this agreement has been in place for approximately the last 5 years. Unlike many of our large enterprise clients, we unfortunately struggled to find a repeatable and/or replicatable model for EHR deployment with HMA due to the limited resources that HMA had available to drive these projects in their respective markets. With that said and has been announced elsewhere, HMA has communicated to us that they are pursuing additional vendors to support their EHR efforts. However, they have also communicated to us that we will remain installed for approximately 160 EHR licenses in 2 of our largest HMA sites, Sparks regional and PRMG a large clinic in South Florida. This is to take advantage of the physician adoption in those markets and ensure they achieve Meaningful Use reimbursement. In addition, as Monte will get into his comments, we're doing quite well in the revenue cycle side of the businesses in numerous additional HMA sites, and we'll see how those accounts transition over time. Other than the above, we have not received any communication with respect to timing regarding transition of any of our EHR, EPM or revenue cycle clients. We do not expect any near-term impact to revenue streams. In addition to the above, there are numerous other large deals in the works, but overall, the ambulatory market is quite choppy right now. There's definitely a pause in activity as many of our clients are now focused on final Meaningful Use phase 1 deployment licenses that they've been purchasing over the past year or 2. I would expect things will pick up again later this year as we gain clarity on Meaningful Use phase 2 and ICD-10 once again becomes a relevant driver. With the current time, there's a pause because of both those initiatives going. Now for a few of our quarterly operating metrics that we always report, we signed 70 new contracts in the ambulatory division this quarter, 10 of those were SaaS agreements. Discounting did not materially change in the quarter. As of 6/30, there's 116 quota-carrying sales and management positions, that same as the previous quarter of 116. Pipeline is currently $153 million versus $168 million a year ago. That includes ambulatory, RCM and inpatient. And I'd like to thank all of you, our clients and the NextGen staff, who continue to work extremely hard as we pursue multiple opportunities and multiple challenges across this industry. But overall, the team remains very positive and we appreciate your support. I'm going to turn it over to Don.
Donn E. Neufeld: Thank you, Scott. Before I read my prepared statement, I want to correct one number that Paul misspoke in the Dental revenue was $4.9 million in the quarter. Helped along by a recent certification of the NextGen Electronic Dental Record, we added 12 new joint clients running the NextGen EHR, EPM and EDR in the quarter. The QSI dental pipeline is approximately $7.9 million. NextGen EDI had record revenues and income in Q1. We saw solid revenue growth in our core products and continued acceptance of our newer offerings such as real-time claim edits. We continue to leverage our ViaTrack acquisition. ViaTrack has 20 hospital clients and is a recommended solution for all new NextGen hospital solutions. Thanks everyone on the call for their support and interest in our company. I'll now turn things over to Steve.
Steve K. Puckett: Thank you, Don. I'm very pleased to report that the Hospital Solutions division delivered its best revenue numbers to date at $11.4 million, with a solid operating income of $2.3 million. To accomplish this, we added an additional 8 core hospitals into our growing customer base, now more than 200 hospital clients. As is often the case, most of the deals we closed this quarter included the ambulatory product suite as well. We also continued to add several specialty market hospitals. These hospitals are a great match for our product portfolio and provide us opportunities to expand into urban and metropolitan markets. In fact, one of the deals this quarter was a corporate network of surgical facilities. That deal will provide us with an opportunity to expand across their installed facilities currently in over 25 states. In addition to rounding out our product portfolio, as I just mentioned, we've had tremendous success with our previous acquisitions of both our Surgical System, CQI and our new emergency department system, Poseidon. Most of these hospital systems support ancillary departments. They have significant workflow differences from the rest of the hospital. We've seen great interest from our clients in these offerings, providing both upsell opportunities in our base and giving us a full product portfolio when addressing new opportunities. I want to especially call out and recognize the extraordinary effort of our implementation team. With the success of our division this past year, they've to build the infrastructure needed to successfully deliver the products and services we have sold under a very tight timeline. The last quarter alone, they brought over 20 hospitals live on our product suite, adding to a current year total of 33 since January. These hospitals are all on a trajectory to complete their out-of-station for Meaningful Use prior to the government's fiscal year end this September. This is an extraordinary feat by both our clients and our internal team, and I'm very proud of everyone in the division who has worked hard to reach this achievement. In closing, we are continuing to focus on the rule in community hospital market, which is our strength. In this segment, we continue to see a strong pipeline of deal opportunities ahead and are enjoying the new urban and metropolitan market opportunities that our specialty hospital offerings will provide. Thank you for your time and attention, and now I'd like to turn it over to Monte Sandler.
Monte L. Sandler: Thanks, Steve. Good morning, everyone. You might recall NextGen Practice Solutions became NextGen RCM Services in the first quarter, having officially launched our new name. As stated last quarter, we feel that it better represents the outsource services we provide to our customers, which are focused on revenue optimization and software utilization. Our full-service RCM Solution is not a core-source [ph] solution and truly includes all components of the revenue cycle from provider credential link to denial resolution to customer service to account management and data analytics. We provide our clients the opportunity to focus on patients, not paperwork. RCM Services revenue for the first quarter was $15.8 million, representing an 18% growth over the prior-year quarter and a 23% growth in core RCM excluding onetime software sales. We continue to improve operating margin through revenue enhancement and cost reduction initiatives, but in large part by our best practice methodology that's laser-focused on continuous improvement of service delivery to our customers. Our backlog of signed deals is now fully implemented remain strong, and our sales pipeline is the highest it's been to date, thanks in large part to our growing sales team. We are disappointed to learn about Health Management Associates' selection of a competitive EHR. While it was always HMA's intent to implement our software and services across their entire employee physician group of 1,200 providers, we only have 412 HMA providers utilizing our RCM services today. Based on our prior experience with HMA management, we do not expect them to mandate a solution across their employee physician group, and also recognize that any migration will take time. And as Scott indicated in his comments, some of the larger HMA employee groups intend to continue to use the NextGen products already installed in their practices. We are currently working with HMA management to better understand their plan and we'll continue to support them in a manner consistent with all of our customers. The IASIS Healthcare contract is already fully implemented as reported last quarter. There are 296 providers in 4 states and 6 markets live on NextGen RCM services, with continued growth expected as they aggressively expand their network of employee physicians across the country. We're realizing a 97% first pass EDI rate versus an 82% to 85% historical run rate in the past. The relationship is strong and they are pleased with our progress and results to-date. As previously reported, we signed several deals to our full service RCM offering in the fourth quarter, all of whom selected RCM Services to help them reduce costs, optimize revenue and maximize the use of the NextGen product suite. One such deal is a 36-provider FQHC that was an existing NextGen EHR EPM customer that was struggling with cash flow and managing their revenue cycle. They signed with NextGen RCM services in February 2012, went live March 1, and have already realized an 18% improvement in collections. This is another example of the impact we are making on our customer's revenue cycles. We recently announced the acquisition of Matrix Management Solutions and remain excited about the addition of this great team. We're intently focused on integrating Matrix into our organization and finding ways to continue to improve our service delivery. I am confident that we remain well-positioned to help our providers navigate the changing environment and optimize their revenue cycle with our full-service, all-payer, best-practice solution that is built on NextGen's industry-leading software platform. Thanks for your time and interest in our company, and I'd like to turn it back to Steve for additional comments.
Steven T. Plochocki: Thank you, Monte. Folks, in light of the quarter that we had and the fact that we indicated that we're not going to provide guidance on a going forward basis, I thought I would take a moment to reiterate our strategy. I think it's important for you to hear this and understand it, even though we've talked about it in the past, our strategy to capture significant opportunities for continued revenue and earnings growth in this marketplace is quite sound. We will continue to pursue significant opportunities to sell our electronic health record and complementary solutions. Industry estimates indicate that the addressable market for EHR solutions is 40% for physicians and hospitals. We are only in the second year of government incentive payments to physicians and hospitals, and we anticipate continued opportunity in this market as incentive payments drive further adoption. NextGen's ambulatory EHR currently is fifth out of 400 competitors in Medicare at the stations, showing its strength and enabling our customers to demonstrate Meaningful Use. As the government's requirements for achieving Meaningful Use and receiving incentive payments become ever more stringent, we believe the proven vendors, like NextGen, will separate from the pack as physician groups replace systems by vendors that simply cannot meet these requirements. We see significant potential for cross-selling new solutions to our existing customer base and bundling multiple solutions for sale to new customers. Over the last several years, we have established 4 business units led by experienced managers to provide focused leadership and develop the business plans, technology, infrastructure required to successfully introduce new complementary software and services. At the same time, we have worked to tightly integrate many of these new solutions with our existing software to further strengthen our ability to cross-sell within our existing customer base for each of our product lines and win multi-solution deals with new customers. For example, we announced that IASIS Healthcare had agreed to deploy RCM services to its network of 19 hospitals across 7 states. We announced this a little earlier this year. IASIS, which already had licensed our Ambulatory EHR software, initially selected our practice management solution to enhance its financial workflows, but later decided to implement our revenue cycle management services in order to quickly and effectively roll out a new financial system across its enterprise. In addition, we announced a new agreement with Norton Sound Health Corporation headquartered in Alaska. They deploy our Ambulatory EHR, our Ambulatory Practice Management, Inpatient Clinicals, Inpatient Financials and other solutions over its 15 health centers located throughout the region, as well as Southwest Community Health, our Ambulatory EHR and Dental, 2 hotly contested wins that were multiproduct sales. We seek to stay at the forefront of developing technology in our industry. In addition to ongoing enhancements to our core software products, we are developing and acquiring new technologies to capitalize on future growth opportunities and to support delivery models, such as the emerging accountable care organization model. Examples of recently introduced enhancements and solutions are enhancements to our Ambulatory EHR solution, provide physicians with automated outcome reporting; enhanced disease management capabilities; and a new user interface that can make the latest version of our EHR more intuitive and easier to use. Our new Patient Population Management Solution allows physicians to monitor patient compliance with treatment plans and to track, capture and process revenue associated with proactive patient communication and care. Our Performance Management Suite provides sophisticated self-service analytics to help health care organizations meet reporting needs for regulatory, clinical and key financial performance indicators. Our NextPen solution is an innovative digital pen device that quickly and accurately captures patient data for transfer to our Ambulatory EHR solution, eliminating paper entry and transcription costs while improving operational efficiency. Our NextGen Mobile Solution allows providers to access record and perform various services such as viewing and making appointments, documenting phone calls and updating components to the patient records from a variety of handheld devices. New surgical management and enterprise scheduling solutions offered by our Hospital Solutions division enable hospitals to improve patient, resource and staff management to increase capacity and efficiency of surgical operations. Our health information exchange is a highly secured data exchange and repository that enables electronic transfer of clinical information among disparate health care information systems within region, community or a hospital system. In addition to the currently available solutions, we are in the process of developing new ambulatory, hospital and dental software-as-a-service offerings that will rely on cloud-based architecture and allow us to increase our recurring revenue base. QSI is at the forefront of enabling new health care delivery models such as ACOs, patient-centered medical home, fee-per-performance. Any of the new products with enhancements described above address growing demands of health care providers to be more effective in terms of the way they deliver care, manage costs and improve outcomes. We see opportunity to grow our RCM service business, as Monte had explained to you, as the industry seeks to reduce costs by outsourcing, billing and collection activities. Management is actively looking to capitalize on the growth and potential we see in this line of business, in particular, by extending our current RCM capabilities into the dental and hospital markets, of which we are actively pursuing at this moment. With 9 acquisitions in the last 4 years, we continually evaluate acquisition opportunities of all sizes. A core part of our acquisition strategy is to use bolt-on acquisitions to fill a strategic gap or kickstart our entrée into newer business lines. For example, we recently acquired Matrix Management Solutions to expand our RCM offering, and we acquired Poseidon Group to expand the emergency department capabilities of our hospital solutions customers. We also have considered and will continue to consider larger, more transformative transactions. Regardless of the transaction size, we will continue to focus on acquisitions that provide a strategic benefit for the company and make financial sense for our shareholders. Again, in the past 4 years, we have made 9 acquisitions that have helped grow the company and solidify its market position. At the same time, we have been disciplined in the pursuit of acquired businesses and have rejected acquisitions, both large and small, because they were strategically or culturally incompatible or not financially accretive. Acquisitions will continue to be an important part of our growth strategy. As we look ahead to capture growth opportunities, we are working to achieve cost efficiencies that will increase our margins. Our expanding use of offshore capabilities, in particular for software development and other back-office functions, is one example. Our growing technology innovation center in Bangalore, India currently employs more than 150 technologists and engineers, significantly increasing the breadth and efficiency of our product development expertise. International expansion is another area of focus in our growth strategy, as cited by Scott, and is evidenced by our first international distribution partnership with Dell and Puerto Rico Hospital, which we announced last month. These initiatives will allow us to move towards a successful long-term future in light of current changing market conditions. Operator, we'll now take Q&A.
Operator: [Operator Instructions] Our first question is from the line of Ryan Daniels with William Blair.
Ryan Daniels - William Blair & Company L.L.C., Research Division: Yes, Steven, I wanted to get a little bit more color on your win rate during the quarter. How much of it is kind of the evolving market, as you called it, versus a market that's becoming more competitive? Or are you guys shifting into the smaller group practices that are less penetrated and perhaps having less of a reputation in that space?
Steven T. Plochocki: Well, actually, when you take a look at us categorically where we do probably between 2,000 and 2,100 deals a quarter, the -- all of our areas in the mid to small ranges of deal flow are continuing to grow. The problem that we're encountering is the fact that we've seen a slowdown in deal flow at the high end. I'm not talking about 7-figure type deals. That's really what's impacted us. This industry is interesting to me in the sense that we have 2,100 deals, you could have 2 or 3 deals that push and they dramatically impact your quarter. If you can get those 2 or 3 deals in that quarter and they dramatically impact it the other way. And that's the world we live in. And it's one of the reasons that we found it so difficult in terms of the fact that if our deal flow at the high end is, at least at the present time, slowing down a bit, then that means we have to close those deals at an incredibly high percentage to be able to hit quarters in the manner in which we want. And I will tell you, last quarter we had 7-figure deals. We won them all, 3 pushed and we lost 1. So in essence, we're scoring at a high rate, but the number of those larger deals, at least right now, is slowing down. And what we're trying to understand is we saw the Stage 1 surge. We are growing our implementation in that area now because of the great volumes that were built up during that selling process. Government announces Stage 2 and ICD-10 delay, 1 year. And then all of a sudden, we see a slowdown in deal flow. So we don't believe the market's peaked yet. We believe it's at the higher end probably, but we don't believe it's peaked yet. We're going to have to wait to see, as Scott cited, that once the final regs and timing of Stage 2 and ICD-10 do become more clear, whether there'll be another surge in the market.
Ryan Daniels - William Blair & Company L.L.C., Research Division: Okay, that's helpful color. And then looking at where the stock is today, I think you got about probably 15% or so of your market cap now in cash. And does that change your capital deployment thoughts going forward? I mean, you talked about M&A opportunities being important and perhaps doing some larger transformative deals. But also, with where your shares are, is a share repurchase potential in the works that are more attractive?
Steven T. Plochocki: I think without disclosing anything that I can't disclose, we have a number of different opportunities that we're engaged in right now, and we think the utilization of that cash and bringing those opportunities to fruition is where going to be using that money for.
Ryan Daniels - William Blair & Company L.L.C., Research Division: Okay. And then last question, I'll hop off in the queue. Just I know you withdrew your guidance for the year given some of the lumpiness in the system sales. But do you think you could still have earnings growth on a year-over-year basis? And how quickly would you adjust your kind of SG&A spend in your sales force infrastructure if the market continues to lag and look a little slower here in the interim?
Steven T. Plochocki: Sure. In terms of adjustment, we are taking a look at our organization in terms of our cost structure. We are moving rapidly to move elements offshore. We brought in a senior vice president of global operations who honestly right now, I think, is still in India. He's in India exploring different options for us there. We want to be able to move certain elements of our business offshore to help on our cost side. But we're not going to be draconian. We still believe that there's a lot of market. We still believe that there's more surge coming. And what we don't want to do is put ourselves in a position where we overreact and then we have to make quick adjustments that could be too late later.
Operator: Our next question is from the line of Charles Rhyee with the Cowen Group.
Charles Rhyee - Cowen and Company, LLC, Research Division: Maybe a question for Scott here. When we think about the pipeline number and just want to make sure I heard you correctly, you said the pipeline is $153 million. And was there anything taken out for HMA? Because obviously, you only had a portion of the providers at HMA today. Had there been some carrying amount on your expectations of getting more HMA providers? Maybe start there.
Scott Decker: Yes, so this is Scott. We did reduce a slight amount for future expectation on HMA. You did get the number correct, which was $153 million.
Charles Rhyee - Cowen and Company, LLC, Research Division: Okay. So can you give us a sense of the magnitude. Because last quarter, our pipeline went up, presumably, you'd say it would flip -- if a deal flips, doesn't it still stay in the pipeline? So can you help us, what's really come out of the pipeline? What are you really looking at that makes you think that the pipeline is coming down as much it is sequentially?
Scott Decker: The HMA in of itself was not material in the number. So I would say more is just the overall choppiness that we've indicated. So the pipeline on the back end just isn't refilling as fast as it was in the past. If I look at it categorically, the top end of the pipeline is pretty similar to where it has been. There's just, at this point, there's not just as much overall opportunity out there.
Charles Rhyee - Cowen and Company, LLC, Research Division: Okay. And is it fair to think it's really more of the large end where you're not seeing kind of -- that you talked about that we should primarily think of it that way?
Scott Decker: I think that probably has the most dramatic effect taken. If the bigger end of the market slows down, that's going to have a fairly meaningful impact on the numbers. Now with that said, as I indicated, we have some pretty large partnerships that are getting recreated here, and I think that will start to build it up in the coming quarters.
Charles Rhyee - Cowen and Company, LLC, Research Division: So then, yes. So maybe a last question. You talked about a big payer contract. Is that in the pipeline as we see that $153 million today?
Scott Decker: No, not in a material fashion. So as I indicated, there's a short-term purchase that's pending with that agreement and that's reflected in the pipeline, but we haven't done any projections yet, any further out. So that will be a great example. We're also having conversations with large health systems, and that's not reflected. One of the other things that Steve did talk to, just shift in the market a little bit. We see behavioral health growing dramatically right now. We see rehabilitation kind of things growing. So we -- there's a bit of a pause as we shift our resources and our sales efforts to kind of where the market is going rather than where it's been. And the pipeline reflects that a little bit. As I said, I think as we get shifted to where some of the more opportunistic things are, we'll see it start to build up. Just one other quick thought, we'll shift some of our resources more to the inpatient side, just where we see a growing opportunity there. So we're being very opportunistic. We recognize the market shifted, and the good news is we can shift our portfolio and our resources to go after where maybe some of the more emerging opportunity is. But it will take a little time to rebuild.
Charles Rhyee - Cowen and Company, LLC, Research Division: And just for clarification, the definition of your pipeline is, if I recall correctly, is the value of deals that you think you can close within the next 6 to 9 months. Is that still roughly the definition? Like if you win a a certain percentage within the next some period, right?
Scott Decker: Right. It's a blended model that looks out 6 months.
Operator: Our next question is from the line of Jamie Stockton with Wells Fargo.
Jamie Stockton - Wells Fargo Securities, LLC, Research Division: Scott, maybe sticking with you. Initially, if I look at the number of contracts that you guys signed for NextGen ambulatory during the quarter, it still remained relatively low. I know you guys have talked about some of the larger deals not closing. But is there also something going on kind of the smaller physician practice side of the business? Or maybe there are lot of incremental competitors, and that is somehow undermining the ability to close more contracts?
Scott Decker: Yes, Jamie. I really just characterized it just as an overall. So the biggest impact, as Steve has indicated, is clearly at the large end. And our -- we're not winning or losing any more than we ever had. There's just not quite as many to compete for there, and I can almost characterize that up and down the line. So from a revenue impact standpoint, the larger deals, being a little more scarce, hurts that number from a number of deals we get done, just choppiness across everything affects that number. So I don't see one area being any heavier than the other. I don't think we're doing -- I think proportionately, we're doing the same number of small, medium and large deals. They're just all down about 25% from where they were at our peak a couple of quarters ago.
Jamie Stockton - Wells Fargo Securities, LLC, Research Division: Okay. And then, Steve Puckett, on the Inpatient side. There was this rush last year for hospitals to start their 90 day window by July. It seems like that same rush may have happened again in 2012. Could you comment about whether or not you guys saw that, and then maybe how you would expect the number of deals in the second half of the calendar year to be impacted by that?
Steve K. Puckett: Sure. Yes, if you follow the rules for hospitals, which are slightly different than they are for physicians, everything is keyed on the government fiscal year, which is September 30. And so from our critical access hospital, which is the smallest of these hospitals that we do out in the most rural places, those guys were all driving significantly to September 30 of this year to a test for Meaningful Use. That was their maximum reimbursement level, if they achieved it by that point. Interestingly enough for the PPS hospitals, which are the larger hospitals and which we have a number of those as well, they can be small, they can be mid up to the largest of the hospitals. That drives towards next year, September 30, 2013, calendar year. So we are staffing appropriately to see really the same trend that we saw this time around. So the prospect there looks very good for us.
Jamie Stockton - Wells Fargo Securities, LLC, Research Division: Okay. And maybe last, Monte, on the RCM business. You guys have continually talked about how there's a big opportunity there and things are looking good. But it doesn't seem like that business has really grown, especially if you back out Matrix for the last 4 to 6 quarters. What's the disconnect there?
Monte L. Sandler: Well, we're continuing to work on the sales and marketing side. We've recently added, I think I reported to you last quarter, some additional sales personnel, domain experts. And we're pleased with the progress that they are making and their pipelines are building. And I think that's really where our focus is really on the sales and marketing side, to continue to cross-sell into the existing NextGen customer base and also compete with net new customers.
Jamie Stockton - Wells Fargo Securities, LLC, Research Division: Okay. But I guess when do you think, organic growth-wise, we'll start to see that show up?
Monte L. Sandler: Well, I mean, we're starting to see it. I announced several deals closed last quarter. We saw some more this quarter. And we've already closed some in the current quarter. So I think we're starting to see that and expect that it's going to continue to ramp.
Operator: Our next question is from the line of Glen Santangelo with Credit Suisse.
Glen J. Santangelo - Crédit Suisse AG, Research Division: I also want to follow up with a question for Scott. Scott, based on your prepared remarks, it seemed to think that you're just seeing a pause in purchasing and we're coming into the final phases of these Stage 1 purchases, and you sort of cited that there's a lack of clarity on Stage 2 and everyone's waiting for ICD-10. And so I just want to get your overall assessment of the market. Do you believe that from your perspective, most of the Stage 1 purchases are now done, and without clarity on Stage 2, that we're about to witness a slowdown in the overall market growth?
Scott Decker: Yes. So from an ambulatory standpoint, yes, I think we definitely feel like from a getting ready for Phase 1 purchase standpoint. I mean, if you hadn't bought by now, there's no way you're going to hit the date basically. I mean, you had to be implemented by October of this year. So somebody buying right now isn't going to qualify for year one. So that definitely had an impact on everybody back loading into the last 3 or 4 quarters. You combine that with no clarity at this point on Meaningful Use to our timeline, that doesn't come out until this fall, and then the ICD-10 getting delayed. And both of those, we thought would certainly be wind behind our backs as we're able to quickly get our product ready for Meaningful Use 2 and ICD-10, and we think many of the competitors are going to have trouble. So we lost that momentum. So my view right now is if there's a lot of implementation going on, that's reflected in our numbers of all the licenses people have bought up, and there's a bit of a pause waiting to see what's going to happen with the next set of regulation, and there's, I think, a very good chance that things will start to pick up again with that clarity.
Glen J. Santangelo - Crédit Suisse AG, Research Division: And so Scott, how do you think about the market opportunity in Stage 2 versus Stage 1?
Scott Decker: It's probably not as dramatic. So as Steve said, I don't think we have a lot higher to go, but I think we still have a chance of being back to similar levels. What's not real clear is how stringent the Meaningful Use 2 is going to be. From us looking at it, I think it's going to take a lot of the competitors out of the market. ICD-10 isn't trivial. So while you might not see as much of a market opportunity, a shrinking of the competitors and some bump in market opportunity should be a good combination for us.
Glen J. Santangelo - Crédit Suisse AG, Research Division: And Scott, maybe if I could just add one final question regarding the ambulatory product. Essentially, one of the issues that I think has been on some people's minds is the interoperability cost where QSI is not the incumbent on the hospital side. And so I'm trying to assess if that's starting to have an impact given the significant ownership of physicians is -- are you starting to see that become a little bit of an issue as some are incrementally more concerned about those interoperability costs? Or are you pretty certain that it's just a slowdown in the market and maybe NextGen just not losing a little bit of share, and maybe the answer's somewhere in the middle?
Scott Decker: So probably not middle, but I'll swing it a little bit. Clearly, Epic is a challenge for us like it is for everybody in the market. After that though, I think we're doing quite well. The one that gets presented to me a lot is Cerner, for instance. And we can cite many of our very largest clients are Cerner-based and they're as aggressive as they have ever been on proceeding with us on an ambulatory strategy side. So that would be my next warning sign, and I see nothing there. After that, we do extremely well. As you know, we've got a long-term relationship with Siemens. We do well in those clients. We have plenty at MEDITECH. So I think we're okay there, with the exception of, like everybody else right now, the guys at the high end of this thing causes us a little bit of pain.
Operator: Our next question is from the line of Ricky Goldwasser with Morgan Stanley.
Zachary William Sopcak - Morgan Stanley, Research Division: This is Zach Sopcak for Ricky. I had a question first about Stage 2 implementation. And when it gets finalized, I guess likely in the fall, how much of a delay is there between that and when you'll start to see these bigger pipeline deals start to come to fruition?
Scott Decker: Yes. So we expect -- I mean, there's 2 things we need clarity on. One is Meaningful Use Stage 2. We do expect that in fall, and then ICD-10 still hasn't been set at how much of a delay that's going to be. Right now the speculation is it's going to get delayed a year. If those 2 things coincide, I would say everybody has a tremendous amount of upgrading and purchasing to do in 2013, early 2013, to get ready for all those deadlines in 2014. So there's a lot of ifs, ands or buts in that, and that's the challenge right now, and given any kind of guidance is we need clarity on those things. If it plays out as we see it, with things getting clarity and the deadline staying in 2014, that would say to me as we get into 2013, we ought to definitely see that have an influence.
Zachary William Sopcak - Morgan Stanley, Research Division: Okay. And one question, just a follow-up on HMA. You mentioned, I think it was 412 providers that you were with. I was just curious what the pushback was on preventing a deeper penetration if it was -- if they had other systems, if there are some other reasons that it wasn't higher?
Scott Decker: Yes, so a little bit more clarity. We had 412 on RCM. In addition to that, we had 165 on EHR. So combined, we probably had 570, 580 sites. Where we had the most struggle was just getting -- our traditional model is to work in partnership with our large enterprise clients on deployment, and we really had trouble getting synergy with HMA in regions across the country to get deployment done. So 9 times out of 10, we do great on these large ones. We just couldn't quite figure out the model with those guys, and so our penetration only ever got to about 40% or 50%.
Monte L. Sandler: This is Monte. I think the other thing that I would add to that is, and I had it in my prepared comments, we historically have not seen HMA mandate any particular solution. So I think that certainly played into it as well.
Operator: Next question is from George Hill with Citigroup.
George Hill - Citigroup Inc, Research Division: Scott, I'll start it off with one for you first. Can you tell us during the quarter which portion of the contracts that were signed came from greenfield business as opposed to displacement business?
Scott Decker: Yes, hang on a second. Let me get the number. 74% was greenfield so there was no installed EHR.
George Hill - Citigroup Inc, Research Division: Okay. And then, I guess, how should we think about churn? And I guess what I would ask is coming to this quarter and if we include HMA, are you guys net up on providers or net down on providers?
Scott Decker: I don't think we saw hardly any de-installs. And as I said, even HMA, they haven't communicated anything to us at this point, which says it's quarters away before we'd see anything. Everything -- I would say, it's almost completely net up of anything we signed raised our provider count.
George Hill - Citigroup Inc, Research Division: Okay. And I guess that kind of leads to what I would think is the next interesting question. You said HMA hasn't said anything to you yet. When the company looks at the history of displacements, what type of heads-up do you normally get, recognizing there might not be a lot of them?
Scott Decker: Yes. So you clearly have probably 3 to 6 months because in most cases, they're going to want to go through some sort of conversion. And so it takes time for all that to happen. The other thing, as Monte said, we're executing pretty well and there's a lot of HMA that's still unpenetrated. So it's probably not my position to talk what HMA's strategy is. But to would make sense they would go after the part that's not penetrated yet first to try to get the best results there. So all this is speculation at this point, and all we can give is our best perspective.
George Hill - Citigroup Inc, Research Division: Okay. And then maybe just last one more for Paul on the accounting side. We kind of saw the historic tie between implementation and training and the software revenue changed this quarter with information -- implementation and training spike. Can you talk about what drove that?
Paul A. Holt: Yes, implementation and training is really not necessarily a function of what you sell, it's a function of what you render. So I wouldn't suggest that there is a direct connection there. Typically, when you sell a system, you sell, you deliver the license and you record your license revenue but you won't see the service revenue until 1 or 2 or 3 or 4 quarters after that. So I wouldn't necessarily put that -- call that a direct connection in any given quarter.
Operator: Next question is from the line of Richard Close with Avondale Partners.
Richard C. Close - Avondale Partners, LLC, Research Division: Monte, I guess starting off with you, in your comments, you talked about operating margin improving in the Practice Solutions or revenue cycle division, but it looks relatively flat. So I wonder if you could give us-- that's year-over-year. Just give us some color on that.
Monte L. Sandler: Yes. So I also had reported 18% revenue growth year-over-year, the 23% growth in core RCM. So when you look at prior year, there were system sales at a much higher level, and those tend to be much more profitable sales that impact operating margin. And so I guess my point is that with the 23% growth in core RCM and from your perspective seeing flat operating margin, it really means that we've continued to improve operating margin because we've reduced the amount of system sales, the high -- profitable system sales in the current year.
Richard C. Close - Avondale Partners, LLC, Research Division: Okay. And then with respect to I guess the pipeline discussion, is there just a chance here that NextGen is not being even -- or seeing larger type deals, that there's larger type deals out there in the marketplace that are not even coming across the doorstep of NextGen? Maybe they're just staying with the hospital vendors, a Cerner, a Epic or some of the other guys?
Scott Decker: No. It's a hard thing to answer that, Richard, because you don't know what you don't know. We do get third-party reports on that. And from what I've seen, there hasn't been any dramatic effect in the number of deals that were being considered. Now, is there a chance that there's large hospital systems or just you don't go in straight to whatever they're installed vendor is and those just aren't in play? Yes, it could be happening. I think that's -- it would be naive to not think that that's happening on occasion.
Richard C. Close - Avondale Partners, LLC, Research Division: Okay. And then I think Ryan asked this question leading up to Q&A. With respect to earnings growth year-over-year, you are not providing guidance or reaffirming previous guidance or updating guidance. Is it -- should we expect any year-over-year growth this year in earnings?
Paul A. Holt: Richard, this is Paul. I think as Steve mentioned, the visibility is a little tough. But is it possible? I mean, we would say absolutely. I mean, there are opportunities out there that Scott has been talking to. And I think there's certainly -- there's reasons to be optimistic. We just don't have a great line of sight to it. So that's why we thought that it was just prudent to do what we did.
Operator: Our next question is from the line of David Larsen with Leerink Swann.
David Larsen - Leerink Swann LLC, Research Division: Can you just remind me how you define greenfield? So if you have 100 doctors in a practice and they buy a 10 -- like 10 more docks and then you install your EMR for those 10 docks, is that considered greenfield or not?
Scott Decker: So when I'm defining greenfield, we've started doing this several quarters ago, just because of some confusion, what I'm really looking at is new purchases, and so it doesn't consider any established accounts. So in this quarter, we had 75 new purchasers, new accounts. So 75% of those 75 did not previously have any EHR in place.
David Larsen - Leerink Swann LLC, Research Division: Okay. And then in terms of implementation efforts, are you seeing any -- is there any change or like how are your resources? How are your implementation staff doing? Are they pressed? I mean, are any accounts stating that "Hey, we need help designing these templates, we need help designing these modules." And you talked about your partnership with HMA, how typically you rely on them to maybe do some of that work. How's that going? Do you need a higher up there? Or are they stretched in? Can you talk about that a little bit?
Scott Decker: Yes, and we need to talk about it on 2 fronts because it's definitely different stories, ambulatory versus inpatient. So I'll comment on the ambulatory part, and I'm going to ask Steve to help a little bit on the Inpatient side. From an ambulatory standpoint, we don't really see anything materially different in the deployments. We're tracking really well. They're probably at the highest utilization they've ever been. But at the same time, we're keeping up with demand. So not any material change there, and I think we're peaking at system sales. So we should be in pretty good shape going forward. The one thing that will be coming up in the future is the ICD-10 conversion, which will require us to move all of our clients over to a new platform. But with the delays on that, it should spread it out a bit more than it had been in the past. And so we have plans to ramp accordingly once we get clarity on that part. But certainly in the short term, we're kind of clicking right on track with where we need to be.
Steve K. Puckett: Yes, and quickly, this is Steve Puckett, from an inpatient perspective, obviously we've had a tremendous couple of first years. And as I mentioned, everybody was sort of raising to the gauntlet to be installed. So they have their 90 days before the September 30. So we've had a very busy department. We've actually subsidized it with a number of third parties to help us with that as well. What is nice about it, as we continue to see this market for us move forward, is we will expect to see that capacity probably stay pretty high in demand. And we're also prepping for something which is exciting to me. Now that we have some of these folks live, there is some real opportunity, I think, for consulting work also with some post-live services that we can provide for them. So that's the outlook from the Inpatient perspective.
Operator: Our next question is from the line of Atif Rahim with JPMorgan.
Atif A Rahim - JP Morgan Chase & Co, Research Division: Steve, in your closing comments, you mentioned that you're working on some kind of cloud-based model solutions for the dental EHR market. And I know in some of your filings you've discussed this with your dental market. But how far are you from launching something on the EHR side? And is it going to be focused on a small, midsized, large groups? Any color you can give us on that?
Steven T. Plochocki: I'll turn that over to Steve Puckett. He's the choreographer of this project.
Steve K. Puckett: Yes, we've mentioned on a couple of previous calls that we -- the company is engaged now, we're well over a year into moving forward with an integrated inpatient ambulatory cloud-based system. Definitely something. It's an exciting project to talk about. It will be interfacing on -- by a lot of things like devices, things like that, as well as a web-based platform that we're putting that to. As far as the timing, we're moving with schedule -- ahead of schedule. We are looking at probably showing some of this in our AGM this year, which is in November, and being able to move towards beta with some of the earlier clients as soon as next year.
Atif A Rahim - JP Morgan Chase & Co, Research Division: And what about the general availability?
Steve K. Puckett: General availability, probably towards the -- depending on the group, would probably be towards the end of the next year, the very beginning of 2014.
Atif A Rahim - JP Morgan Chase & Co, Research Division: Okay. And this would be able to -- I mean, be sold on a separate basis to ambulatory providers of different sizes too, it's not just integrated inpatient ambulatory?
Steve K. Puckett: Right, right. We're very much embracing the fact that the markets are coming together as far as the service with the ACO model, a number of these different things. The exciting part for me is to watch how the transformation. That we've talked about a lot of the big box vendors, people that have traditional models, the nice thing -- the exciting part about reinventing so to speak right now where we are, is that we get to address the market of today and the market of tomorrow, which will be, we believe, a very different market. So when I say that, when we say in integrated ambulatory and inpatient, we see it providing services to both of those. And that's to the small provider. And the cloud platform provides an excellent opportunity to do that on the economies of scale that they're looking for as well as the large provider, and as we move towards the patient-centered care model, which will ultimately involve the patient.
Atif A Rahim - JP Morgan Chase & Co, Research Division: Got it. Do you feel you're disadvantaged today without this offering? Are you losing share because you don't have it?
Steve K. Puckett: I think it's a challenge right now. The truth is -- I mean, there's nobody in the market that has this offering. So I think everybody's asking for it. What's interesting, we always talk around the room, everybody's got their iPhone or whatever. Everyone wants to plug and play the iPad, the iPhone. You're looking at -- as we're looking at building this product, we're looking at engaging those devices today. We're realizing that they're going to be useful in delivery of care, as well as the traditional desktop model. So what's interesting is nobody has these things today. Everybody has something you can add on or buy with that, but it really isn't integrated into the product. So your question is, yes, I think we're impacted to some degree, but I think the entire market is impacted as everyone looks for a solution like this. And as of now, I know nobody that provides this comprehensive solution in this model.
Atif A Rahim - JP Morgan Chase & Co, Research Division: Okay, got it. So then one for Scott. Scott, in terms of the contracts, signed new contracts about 75 accounts. That was similar to last quarter. And I think just looking at the company's history, the large deals have been maybe in the high single digits, low double digits. So that to me implies that there is some weakness beyond just the large markets. So where are you seeing most of that?
Scott Decker: Yes. So let me make a couple of comments and actually just one follow-up even to the comments we were just having on our web-based architecture. The good news is we do have SaaS offerings running across all platforms today. So while we aren't truly on a web-based architecture, it's not that we're not able to support cloud-based strategies of most of our clients. So we're in good shape there. As far as from a market, similar question to what somebody else asked, I agree with your assessment, which is the large end isn't seeing as much, but it really does go throughout the entire opportunity base. I mean, mid and small also are challenged right now with a bit of pause for all the reasons we've talked about. So when you look at gross number of deals signed in the quarter, that's going down because of that. The piece that has the most impact on just revenue just because of the size of the deals is the large end. Just as a sidenote to all that, I actually did just get a note that the large payer agreement I had alluded to did sign this morning. So that is a notch in the right direction, and it's a great example of a new emerging market for us that we're pretty bullish about.
Operator: The next question is from the line of Stephen Shankman with UBS.
Stephen B. Shankman - UBS Investment Bank, Research Division: Great. At this point, most of the things I'm interested have been asked and answered. But a quick follow-up here on HMA, and I know the comments you've already made there. But we've seen some estimates that the revenue contribution for HMA was, say, $20 million to $30 million. That's a pretty wide range. So I was curious if you can kind of get some more granularity around that number and also take a stab at the potential bottom line impact that we may see related to the HMA.
Steven T. Plochocki: I think without -- first off, that number is absurd. The installed base that we have there probably has less than $0.5 million a year in maintenance affiliated with it. On the RCM side, which is spread out through their organization, there's probably between $7 million and $9 million of potential impact. Now again, that's the total, that's it. The opportunity lost is probably a big -- is part of that as well. But the bottom line, you got to remember what was said earlier. We signed that deal with HMA back in 2007. HMA, at least historically, behaviorally, never really mandated to their base that they must use any particular product. So hence in that period of time between 2007 and recently, we are able to start working with about 400 or 500 doctors. And so if we lost every bit of that, every single bit of it, first, it would probably take a couple years. Second, it would probably be about in the $8 million to $9 million range.
Stephen B. Shankman - UBS Investment Bank, Research Division: From the top line?
Steven T. Plochocki: Yes.
Stephen B. Shankman - UBS Investment Bank, Research Division: Any potential estimate of the bottom line impact?
Steven T. Plochocki: No, no. I'm not going to do that.
Operator: Our next question is coming from the line of Bret Jones with Oppenheimer.
Bret D. Jones - Oppenheimer & Co. Inc., Research Division: I just want to go back to the pipeline for a second because I was a little bit confused on the magnitude of decline. I know you touched on this earlier. With the $36 million decline in pipeline, it's more than the entire software, hardware and supplies line. And so you can talk about the back end not refilling but the front end is not pulling very hard either. and so I was just trying to understand, was there something other than a small amount of HMA that came out of there? Was there a revaluation of the pipeline? Or what am I missing?
Scott Decker: Yes, there actually was a couple of big transactions that had -- that were out at the tail end of the pipeline when I dug into all the numbers that we did pull out, the large multisite-type environments that just never materialized. So that's probably have as much impact as anything on the overall number. So you combine just a software market with a couple of those larger transactions being pulled out and that's how I would reflect what the change was.
Bret D. Jones - Oppenheimer & Co. Inc., Research Division: All right, that makes a lot of sense. I appreciate that. One other question I just want to hit on, on Hanger Orthopedic. You talked about hitting a milestone in terms of delivering the pilot software. And I was just wondering, was there any revenue recognized with that milestone being achieved in the last quarter?
Scott Decker: There was, though we didn't report the specifics of that. But yet, there was some revenue impact from the development work we had done there.
Bret D. Jones - Oppenheimer & Co. Inc., Research Division: Can you give us a sense of if it was material or not?
Paul A. Holt: This is Paul. We did have some revenue. We had some costs as well because we had deferred on the costs. So there was revenue. It didn't all just drop to the bottom line. I think we did mention that it was north of the 7-figure mark, but I think -- I don't think we really want to get into any more detail than that.
Scott Decker: Yes. And I think the important part on that, I mean, yes there's revenue associated as we go through that development effort and then to the pilot. The big opportunity is as we get into the rollout, which is, as I said almost 3,000 providers. And at this point, we haven't recognized any revenue from that anticipated licenses in the future.
Bret D. Jones - Oppenheimer & Co. Inc., Research Division: Okay, that's great. And then just lastly, I know you won't talk about the proxy itself. I was just wondering if you could give us a sense for what the proxy costs were in the quarter?
Paul A. Holt: We did have some costs related there. I mean, I wouldn't call it necessarily material at this point, but we did have some costs that we're reporting on the SG&A side, and we will have costs going into the next quarter as well, you can expect that.
Operator: The next question is from the line of Steve Halper with Lazard Capital Markets.
Steven P. Halper - Lazard Capital Markets LLC, Research Division: Recognizing that you have some of these industry challenges especially at the large physician group, we'll take that as a given. But with respect to the -- your product on NextGen Ambulatory EHR with respect to the product and the service offering around that, what is your customer feedback telling you in terms of your overall quality levels and quality of the product itself?
Scott Decker: This is Scott again. What the customer tells us is that we're in pretty good shape from providing a great enterprise solution. As some of you know or many of you know, we had some quality issues back in -- almost 2 years ago. We've addressed many of those. And the releases coming out now are of a very high quality level. And so there's a little bit of a baggage we carry from a couple of years ago. But most of the reports and the conversations I have now with the clients as I'm out there talking to them is very positive. The other thing where we were beat up a bit in the past was just the complexity of the user interface. Due to the robustness of our product, it was getting tough to use. And that's another area that we've really invested in the last year or 2 in totally redesigning our user interface. And once again, the clients who are now bringing that software up are ecstatic. And the feedback even coming out of class-type surveys is very positive on that. Now the challenge we have is, as almost 70,000 physicians deployed over the last 15 years, it takes a while for us to get that installed base all up onto the latest and greatest generation. And as we do, I think as I said, the new clients coming on and the ones who have shifted are very happy. My challenge right now is to get all those people who are all on more legacy-type back versions up onto the most current stuff. And I think we're going to be in really good shape then.
Steven P. Halper - Lazard Capital Markets LLC, Research Division: And I know this has been asked before, but the lack of a cloud offering in that segment, is that the problem based on, again, what the customer is saying?
Scott Decker: No. As I said, the ability to deliver it via a cloud-type architecture, which we literally do with, I don't know, probably 10,000 clients now through our relationship with Dell and Perot, it needs to be able to be delivered that way, and we do find doing that. Architecturally, some of the clients would love to see us get to a pure web-based platform. But as Steve said, there's nobody in the market there other than maybe 1 or 2 players today. And look at Epic, who's on 30-year old technology. Clearly, it doesn't affect sales. So yes, we don't see that. We think it will be a nice new ability for us when it gets there, another differentiator, but I don't think it's hurting sales at this point at all.
Operator: Our next question is from the line of Sean Wieland with Piper Jaffray.
Sean W. Wieland - Piper Jaffray Companies, Research Division: So I guess my question is pulling guidance conveys a level of uncertainty that certainly the market is uncomfortable with. You've touched on it a little bit, but I just want to come back to it again. Why pull guidance as opposed to just lowering it given maybe even a worse case set of circumstances out there?
Steven T. Plochocki: Well, Sean, the theme of guidance for us essentially, you know we're a company that hardly ever provided guidance for 20 years, was because of the nature of our business, the nature of the business being such that so many deals moved to the tail end of a quarter. Even down the last 2, 3 days, your quarter is made or not made on the last 3 days. And that uncertainty of deals in or deals out and the impact it can have on your quarter is huge. That's why the company resisted guidance for the longest time. We had a period of post the announcement of the stimulus where we had a great visibility in terms of a lot of different areas: web hits going up, online demos going up, leads going up, pipelines going up. I mean, we had comfort and visibility in the fact that future quarters were there. And so that's when we started to provide, if you remember, directional guidance, where we are talking about being comfortable with the consensus view of the analysts. And then of course, prior -- coming into this quarter -- excuse me, into this fiscal year for us, we felt that the things that we were seeing, which was still a strong pipeline, analyst reports still citing that if there was going to be a peak, it was going to be a peak in 2013. And we felt internally with our sales guys that we could still be comfortable at a 20-20 range because of what we saw. And then as you know, the last couple of quarters where -- we're below our expectations, certainly below the performance levels that we're accustomed to. And simply, we just -- when we take a look at the pipeline and we take a look at the number of deals that we're working on and we take a look at areas like people, Stage 2, ICD-10, starts and stops, a big rush to Stage 1 and that now implementation is starting to accelerate as you see in our numbers, a delay in Stage 2, a delay in ICD-10, things yet to be defined in those 2 areas this fall, we just don't have any clean visibility to provide the type of guidance that we thought we'd be responsible. And so we felt it was prudent to not do that.
Operator: Our next question is from the line of David Windley with Jefferies.
David H. Windley - Jefferies & Company, Inc., Research Division: I wanted to ask a follow-up on the Hanger deal. I believe that you had quantified previously that you might recognize as much as $20 million from that relationship in 20 -- I guess your fiscal 2013, I think, was the reference, and that a very small amount of that had been recognized prior to this quarter. So I guess I'm wondering, in relation to Scott's earlier comment on the kind of deliverable schedule, I'm wondering how much of that you still expect to recognize over the next several quarters? Or did some of that timing slip, again in reference to Scott's more qualitative discussion earlier?
Steven T. Plochocki: I'll turn it over to Scott to give you the timelines. But the $20 million reference at the JMP Securities conference earlier this year, I think the CFO of Hanger was asked about their relationship with us, and he indicated that we intend to spend $20 million with NextGen this upcoming year. Now that's probably -- $20 million is the right number. But the sense of timing might be a little different. And I'll hand the timing off to Scott who's working the deal very closely.
Scott Decker: Yes. So just as further clarification, the way we would anticipate things rolling out is we're basically getting nonmaterial revenue up until the point that they'd go to major rollout. We do anticipate rollout's going to take 18 to 24 months. So unless we do something unordinary, you would likely see revenue tied to that kind of time frame. Now on the upside, that's the software license side. It's not even really getting into implementation and other services we're talking to them about. So it's a fantastic relationship and account. And as I indicated, we'll really starting to get into the meat of that agreement as we flip over into calendar year 2013.
David H. Windley - Jefferies & Company, Inc., Research Division: So Scott, not to split hairs but when you say nonmaterial revenue, is that overall, is that in total? Or is that nonmaterial software system sales revenue?
Scott Decker: Just in general. I mean, you could think about it as we've been doing work to customize some of the software and we've been doing some project planning. But when you talk about numbers like $20 million, what we're seeing so far is not even close to material.
David H. Windley - Jefferies & Company, Inc., Research Division: Okay. And the reason I asked a follow-up is just trying to triangulate a little bit on did the Hanger deliverable in the June quarter contribute to this fairly significant step-up in implementation and training services? Did it fall into that line or was it in a different line?
Paul A. Holt: This is Paul. We certainly had -- there are some implementation-type services that were included in our June quarter, and we expect to continue to see that going forward as well. I think what Scott's talking about is that the more bigger dollars are coming down the line. So hopefully that helps.
David H. Windley - Jefferies & Company, Inc., Research Division: Okay. So Paul, then it's right for me to think about Hanger as contributing the majority of that step-up quarter-to-quarter?
Paul A. Holt: No, I wouldn't characterize it that way. I think I would just make sure to let you know that we do have Hanger implementation revs in there, but I wouldn't say that that's the primary driver. What's driving that line is that we have a lot of implementation work going on both in the ambulatory and the hospital folks are working pretty hard, too.
David H. Windley - Jefferies & Company, Inc., Research Division: So to maybe change the tenor of that question then, in light of relatively soft software sales in the last quarter, by the last -- I mean the March quarter and the June quarter, a lower pipeline such that we probably need to be thinking about lower system sales in the next quarter or 2, how sustainable is a higher implementation revenue number? Shouldn't I think about that going down from this $12 million number?
Paul A. Holt: Well, I think we're trying to get away from giving you specific guidance, and to the -- what's going to happen with that line. I can tell you that in this past quarter, we have sold a fair amount of services. You're not going to know that necessarily because you're going -- because we don't record revenue when we sell services. And many of those services have been sold on a billed-as-incurred basis, so you're not going to see them show up as deferred revenue either. But suffice it to say that I think as we've discussed -- as we've talked about some of this pause, I think that's real. But at the same time, I don't think we're also getting away from trying to guide you.
Scott Decker: I would just jump on the end. I mean, your premise is there's got to be fact to it, right? I mean, you have less system sales, there's going to be less implementation work. The good news is we're killing it on inpatient. And the other thing we haven't talked much about is overall management consulting, which we continue to grow pretty nicely. So like everything else, we're making sure we're executing strategies to bridge gaps as well.
Operator: Our next question is from the line of Anthony Vendetti with the Maxim Group.
Anthony V. Vendetti - Maxim Group LLC, Research Division: On the larger deal front, are you seeing just less of those deals going out to RFP? Or are you just seeing much more competition in that space? And then if you could just talk about any change in the larger deal landscape. Is it -- are you seeing more wins by Cerner, Epic?
Scott Decker: Yes, so this is Scott. Yes, I think we've maybe made a couple of comments on this front, and I would just reiterate those, which is your first characterization which is there's just less deals right now. We're winning as many, if not higher, than we've ever won. There's just less of them to compete for. And there was one other question along this front. The question is are we not seeing some because they're just staying within the hospital market? Possible. Has the landscape changed a little bit? Do we see Epic or Cerner now where before we saw maybe more ambulatory vendors? Maybe. But our discounting is not any different, we're winning more than we've ever won. So the big factor right now is just number of deals we're seeing.
Steven T. Plochocki: Thank you. And thanks all of you for joining us today. We as a management team are a pretty proud group of guys. We believe that the plans we have in place are going to materialize into great gain for the shareholder. We are going through a period here where we're adjusting. But we have confidence in what we're doing, and I certainly have confidence in this entire crew. So thanks again and look forward to speaking to you in the future. Bye now.
Operator: Thank you, ladies and gentlemen. That does conclude our conference for today. We'd like to thank you for your participation, and you may now disconnect.